Operator: Good afternoon, and welcome to ATI Physical Therapy’s Second Quarter 2022 Earnings Conference Call and Webcast. All participants will be in a listen-only mode. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. On the call today is Sharon Vitti, Chief Executive Officer; Joseph Jordan, Chief Financial Officer; Ray Wahl, Chief Operating Officer; and Joanne Fong, Senior Vice President, Treasurer and Head of Investor Relations. I would like to now turn the call over to Ms. Fong to read the Safe Harbor and forward-looking statements.
Joanne Fong: Thank you, Emma. Good afternoon, everyone, and thank you for joining us for today’s call. Before we begin, we’d like to remind you that certain statements made during this call will be forward-looking statements that are subject to various risks and uncertainties and reflect our current expectations based on our beliefs, assumptions and information currently available to us. Although, we believe these expectations are reasonable, we undertake no obligation to revise any statements to reflect changes that occur after this call. Descriptions of some of the factors that cause actual results to be materially different from these forward-looking statements can be found in the Risk Factors section in the company’s filings with the Securities and Exchange Commission. In addition, please note that the company will be discussing certain non-GAAP financial measures that we believe are important in evaluating performance. Details and the relationship between these non-GAAP measures to the most comparable GAAP measures and a reconciliation of historical non-GAAP financial measures can be found in the earnings press release that’s posted on ATI’s website and filed with the SEC. And with that, I’d like to turn the call over to Sharon.
Sharon Vitti: Thank you, Joanne, and welcome to all of you joining us for our second quarter earnings call. I’m here today with Joe Jordan, our Chief Financial Officer; and Ray Wahl, our Chief Operating Officer. We have a lot to cover today. So let’s jump in. I will begin by sharing some initial thoughts after my first 100 days with the company. Next, I’ll provide highlights on Q2 results and perspectives on the landscape where we are now and what we are doing in the immediate term. We know our expected financial performance is important to the investors and we will walk through revised guidance as announced in the earning press release earlier today. Ray will further discuss operational and provider performance during the quarter. And Joe will take you through a detailed financial review and the basis for the guidance revision. Finally, I’ll wrap up with closing comments before we open the call to Q&A. In the past three months, I started to learn about ATI from the inside out through clinic visits, and most recently attending our mid-year field operations meeting, I’m encouraged by the talented teams and their strong commitment and passion for ATI’s purpose. The operating chassis and resilient culture are the foundation that ATI has grown on and will continue to be the basis for our future. The team has also made strides in launching technologies that generate evidence based data for our providers to use in developing high quality treatment plans, coordinating care across providers and measuring clinical outcomes along the patient journey. I’m excited to lead the company, drive the ATI mission forward, improve patient’s quality of life and leverage the existing foundation to grow our national practice. Right now, we are focused on the three Ps of the practice, our pipeline, provider productivity, and our provider base, all are critical contributors to our near-term growth targets. Physical therapy is an important care offering and continues to have strong demand. Following market trends, the demand for ATI services is also strong. The Q1 investments to drive sales and marketing are producing meaningful results. Referrals continue to grow in the second quarter, giving us confidence that our investments in relationship building with partner providers have been effective and well placed. This is a good start and we are continuously iterating to advance the pipeline. On provider productivity, I’ve been working closely with Ray and the field leaders to ensure we support our clinicians, remove barriers and allow them to focus on treating patients. The performance metric we track is visits per day per clinical FTE. And we seek to strike a balance between increasing access for patients so they can get back to their best physical health and affording our therapists the space and resources to provide outstanding patient care. In the second quarter, the metric was 9.1, which is a quarter-over-quarter increase of 0.6 visits and represents solid performance by the field team. At the same time, the Net Promoter Score remained high at 75, with the investments made in clinical support in the past year, we can sustainably execute visits per day per clinical FTE across our national platform higher than 9. Related to our provider base, the tight labor market has impacted our pace of hiring and our ability to meet patient volume projections. Offers with increased wages, stimulate movement of providers from one PT organization to another, and creates a higher reliance on interim contract labor both adding to our cost per visit. While referrals and requests for ATI services has grown quarter-over-quarter, our ability to meet demand is constrained by the size of our provider team. We have been prudent with our actions as the labor market has tightened and wages have increased. We remain driven to overcome the market labor headwinds and are taking targeted actions to attracted providers to ATI, including expanded recruiting efforts and a steady focus on fostering our employee first culture. Within the next few weeks, we will also be announcing a new Chief People Officer, and we will bring a – she will bring a renewed focus and seasoned guidance to our Talent Acquisition and people development strategies. Despite the positive trends in our performance, the GAAP in adding providers is having a direct impact on our ability to deliver our 2022 growth plan. We are revising our revenue and adjusted EBITDA guidance for full year 2022 to reflect the current labor market. And Joe will speak to the detail shortly. It is important we establish a realistic outlook for ATI that acknowledges the labor shortfall balanced with indeed to grow our bottom line. Looking ahead, we are evaluating our baseline operations to position ATI for the long-term. We are reviewing our people, processes and technologies and digging deeper to understand costs and investments associated with growing the business, operating with excellence and serving our patients. We are gaining insight into the past for near and long-term earnings and cash potential of this business. This work is in progress and we will be providing updates in the months and quarters ahead. While I don’t have all the answers after three months, I can share a few additional near-term priorities to drive ATI’s performance. Across our national practice, we are undertaking a comprehensive location review to assess return on investment in form and action plan. At corporate, we’re evaluating SG&A spend and acting on opportunities to be more efficient. Regarding care delivery, we have identified specific opportunities where our ATI Connect virtual care can increase access and allow us to treat patients sooner. We expanded our workers’ comp program in auto personal injury programs in June this year in Illinois and Texas. In our Texas pilot, we saw greater than 50% year-over-year growth in the first half of 2022 and a higher rate per visit in Texas due to the workers’ comp and ATI mix. Moreover, we are capitalizing on pent-up demand for our ATI worksite solutions service and are working to execute numerous contracts in the pipeline before year end. My first quarter as CEO of ATI has not been without its challenges. I remain optimistic about the company’s future and want to thank our employees, patients and investors for their dedication and support. It is from weathering challenging times that good companies get stronger. I’m proud of our accomplishments through the first half and an eager to drive forward with intensity and purpose as we deliver on a commitments in the remainder of the year. And with that, let me turn it over to Ray for detailed discussion of clinical operations.
Ray Wahl: Great. Thanks, Sharon. I’d like to provide a review of our operational performance in the second quarter, discuss some of our field activities and comment on the labor market, which has created some near-term challenges for ATI and drove the reduced outlook that Joe will expand upon shortly. As we progress through the first half of the year visits per day during the second quarter was approximately 22,400, which was 1,300 visits or 6% higher than the first quarter. The increase was delivered by essentially the same number of clinical FTEs performing at a higher level of productivity. As Sharon mentioned, we saw the provider productivity metric increase to 9.1 from 8.5 in the first quarter. We were able to execute this due to the increased support staff add in the clinics over the past year, allowing our providers to focus on patient care. While we work on optimizing daily operations in the clinics and the scheduling hubs, the priority is adding more providers to the team to increase referral conversion and capture additional demand. We are not where we want to be with growing our clinical team as a competitive labor market is impacting both the pace of hiring and staff retention. Annualized clinic – clinician ads was 38% in the second quarter of 2022 the same rate as in the first quarter. Excluding contractors annualized hiring was 27% in the second quarter, a 1% increase compared to the first quarter. As we work to fill open positions in this labor market, we are continuing to rely on contractors to fill gaps. On our last call, I discussed PT school graduations in May traditionally our biggest hiring season. We’re excited to welcome new grads who are joining ATI teams with rolling start dates throughout the third quarter. Furthermore, we are currently deploying new tools and tactics to accelerate experienced clinician hiring. Annualized clinician turnover in the second quarter of 2022 was 37%, a 9% increase from 28% in the first quarter. When excluding contractors annualized turnover was 27% in the second quarter compared to 23% in the first quarter. More than half of the quarter-over-quarter increase in turnover came from contractors as their engagements ended. Annualized turnover in the prior year, comparative quarter was 44% in total and 43% excluding contractors. Our employee engagement survey results show that the staffing and programmatic changes made in the past year have been viewed favorably by the field. We believe the culture in our clinics is special and the ATI platform provides an outstanding place for providers to start, build and accelerate their careers. We continue to install and refine talent management programs to enable our providers to perform at their best and elevate the PT profession to the benefit of our patients. As one example, I’m proud to report that the CMS recently awarded ATI an exceptional rating under the Merit-based Incentive Payment System program for the third consecutive year and a score in the 100th percentile for the second consecutive year. With this rating, we will receive MIPS bonus payments next year on top of the 2023 Medicare standard rate. While I am pleased by the progress we have made with attrition and our culture over the past year, we have a lot of work ahead of us and I believe this team is up for the challenge. The clinic leadership’s team’s ability to manage their business and simultaneously oversee outstanding patient care has been impressive. Many of the programs we implemented to engage our workforce, take time to see the full impact and initial indicators show that we’re on the right track. I’m really proud of the entire team who continue to work with one goal in mind, which is getting our patients back to their best selves and I look forward to what this team can achieve going forward. Now I’d like to turn the call over to Joe for a financial review.
Joseph Jordan: Thank you, Ray. And thanks everyone for joining the call today. I will cover our second quarter 2022 financial results, and then go into the company’s full year outlook. Net operating revenue in the second quarter of 2022 was $163.3 million essentially flat from $164 million in Q2 of 2021. Net patient revenue was $148.5 million, increasing 1% year-over-year driven by higher volumes, partially offset by a lower rate per visit. Other revenue was $14.8 million decreasing 15% year-over-year, primarily due to the sale of our Home Health service line in the fourth quarter of 2021. Visits per day per clinic during the quarter were 24.2 sequentially increasing 1.3 visits from 22.9 in the first quarter of 2022. The quarter-over-quarter increase was driven by higher labor productivity. As Sharon discussed, while referrals continue to be strong in the second quarter, the tight labor market limited our ability to see more visits in our clinics. Visits per day per clinic decreased 0.1 from 24.3 in the second quarter of 2021 as we integrated new team members while continuing to optimize the staffing model and clinic operations year-over-year. Rate per visit was $103.57 sequentially increasing 0.5% from $103.06 in the first quarter of 2022 and decreasing 3% year-over-year from $106.26. Despite the Medicare sequestration reduction of 1% that began in the second quarter, there was a small increase in rate per visit quarter-over-quarter, and an indication that rates may be stabilizing since the onset of COVID and the concurrent payor, state and service mixed volatility. The year-over-year decrease was due to a lower Medicare rates on account of the 2022 Medicare physician fee schedule changes and sequestration as well as unfavorable mix shifts in payor, states and services. Salaries and related costs in the second quarter of 2022 were $89.6 million, and 11% increase year-over-year from $80.9 million in Q2 of the prior year, due to more clinical FTE, a higher level of support staff in the clinics and wage inflation. PT salaries and related costs per visit during the quarter were $53.64, a 3% decrease quarter-over-quarter compared to $55.47 in the first quarter, driven by improved labor productivity and partially offset by continuing wage inflation. Comparing year-over-year, we saw an 11% increase from $48.22 in the second quarter of 2021, primarily due to increases support staff per clinician, wage inflation and lower productivity. Rent, clinic supplies, contract labor, and other in the second quarter of 2022 was $50.4 million, a 14% increase year-over-year from $44.1 million in Q2 of 2021, due to more clinics and a higher cost per clinic driven by greater contract labor usage. PT rent and other cost per clinic during the quarter was $53,000 sequentially decreasing 3% from $54,000 in the first quarter of 2021, primarily due to seasonal spend related to clinic events and increasing 11% year-over-year from $48,000 driven by greater use of contract labor given the continuing tight labor market relative to 2021. Provision for doubtful accounts during the second quarter was $3.5 million or 2% of net patient revenue consistent with the second quarter of 2021 at $3.6 million and 2% of net patient revenue. SG&A during the quarter was $31.8 million, a 21% increase year-over-year from $26.4 million in Q2 of 2021, primarily due to higher public company operating costs, non-ordinary legal and regulatory costs and a contingency recorded related to a profitable settlement arising from a payor dispute on historical claims. This increase is partially offset by lower transaction costs from the business combination of the prior year. Impairment charges in the second quarter of 2022 were $87.9 million for goodwill and $40 million for our trade name both non-cash charges. The impairment was primarily due to increase in market interest rates and revised near-term company expectations. Operating loss in the second quarter was $139.9 million, decreasing year-over-year from $444.3 million. The second quarter of 2022 included an impairment charge of approximately $127.8 million. While the second quarter of 2021 included an impairment charge of $453.3 million. Excluding these non-cash charges, the remaining $21.1 million increase in operating loss was primarily due to continuing tight labor market resulting in wage inflation of greater use of contractors and higher SG&A expenses as previously discussed. Notable below the line items during the quarter included a decrease in the fair value of certain warrants and contingent common share liabilities totaling $2.7 million. The mark-to-market to fair value was based on evaluation analysis as of June 30, 2022. Interest expense during the quarter was $11.4 million compared to $15.6 million in the second quarter of the prior year, consistent with the reduced outstanding debt pursuant to the business combination in 2021 and subsequent refinancing of our debt earlier this year. Income tax benefit for the quarter was $13 million compared to $19.7 million in the second quarter of 2021. Net loss during the quarter was $135.5 million compared to $439.1 million in the second quarter of 2021. Adjusted EBITDA during the quarter was $5.4 million or 3% margin decreasing year-over-year from $24 million or 15% margin. Similar to the year-over-year changes in operating loss, the year-over-year decreasing adjusted EBITDA was primarily due to the impact from the continuing tight labor market, higher support staff in the clinics and higher SG&A costs. Cash generated year-to-date 2022 was $31 million broken down between $33 million used to fund operations, $18 million used in investing activities and $81 million provided by financing activities. Cash used in operations included $11 million repaid in connection with the Medicare accelerated and advanced payment program under the CARES Act. As of June 30, available liquidity was approximately $128 million comprised of $80 million in cash and cash equivalent and $48 million in available revolver capacity. Looking ahead, our revised – we are revising our full year 2022 guidance, revenue guidance is $635 million to $655 million, down from $675 million to $705 million. We are also revising adjusted EBITDA to be in the range of $5 million to $15 million down from $25 million to $35 million. We continue to face labor challenges, as provider availability is constrained in the current environment and there’s aggressive competition for physical therapist talent. ATI’s provider capacity has limited the number of referrals that we’re able to convert and the visit volumes we’re able to see. While we have been prudent in the face of labor inflation and maintained our head count in the second quarter, despite a tight labor market, we need to grow clinician count in order to keep growing the business and improve profitability. As Sharon mentioned, we’re taking targeted actions to aggressively attract talent to ATI. The revised guidance reflects the anticipated impact of the current labor market and it captures the expected pace of adding clinical FTE in the second half of the year. We have capacity and demand to see more volume. Our platform’s built to support more clinicians and as a result, every 100 clinicians we add in our existing clinics allows ATI to realize approximately $2 million of additional revenue each month, and approximately $1 million of additional adjusted EBITDA each month. The revised guidance range is driven by the magnitude of the operating leverage each new clinician provides to ATI, and it reflects the pace at which we foresee growing clinical headcount. Finally, regarding new clinics, we open 22 de novos year-to-date in 2022, we will continue to capitalize on growth opportunities in local markets that provide an attractive return and have labor availability. And thus continue to expect to open approximately 35 new clinics for the year. With that, I’d like to turn the call back over to Sharon.
Sharon Vitti: Thank you, Joe, for the detailed review of financial performance and outlook. In summary, ATI has and will continue to have a strong commitment to all its stakeholders. We are making ATI a stronger company operationally and financially. I continue to look forward to leading this talented team as we write ATI’s next chapter. I have a lot more to learn about the ATI business and physical therapy ecosystem and we’ll share with you what I know and can today. I will also be back to you with more definitive plans and views in the months ahead. Operator, let’s jump in the call for Q&A.
Operator: [Operator Instructions] Your first question today comes from the line of Larry Solow with CJS Securities. Your line is now open.
Stefanos Crist: Hi, good afternoon. This is Stefanos Crist calling in for Larry. Thanks for taking our questions.
Joseph Jordan: Hey, Stefanos.
Stefanos Crist: First, I just want to start on the referral pool just the increase, is that predominantly new doctors or perhaps maybe some of the lost referral sources coming back. And is there a reasonable time period to revamp referrals back to pre-COVID levels?
Sharon Vitti: Great. Stefanos, hi, it’s Sharon. Thanks for the question. So the first part of the question relates to we’ve grown this – the sales team by about 60 BDM, business development managers, and that’s a little bit about 10 less than what we had pre-COVID. But we have a combination of going – using data to be more sophisticated about where we go in the field. And then also we have over 600 clinicians that are actually working in partnership with our BDM folks around developing those referral bases in the community. So a few things, specific to your question one, the majority of referrals are from traditional referral sources, our relationships with providers, employers, and sports medicine. And I’ll say, it’s a mix of existing and new. And we are at about 90%, 96% of pre-COVID levels for referrals. So we’re moving in that direction. I’d say, the other big piece here is when I said the 60 folks that we’ve brought on a good percentage of them have come on in the first – in the last six months. So we are feeling confident that, one, the team is strong, two, they’re ramping, and three, we’re pretty close to our pre-COVID levels with our referrals right now.
Stefanos Crist: Great. Thanks so much. And then you mentioned visits per day per clinic about 24.2, is the goal still to get to the high 20s versus I think 30 in 2019. I guess, is that achievable in the next couple years?
Sharon Vitti: Joe, you want to take that?
Joseph Jordan: Hey, Stefanos, this is Joe. I could talk to that. I think – and you heard this on the call, I think in the near-term, the focus is to add clinicians. And as Sharon mentioned, the referral volume level is pretty high. It’s getting close to pre-COVID level. So say, if we had the clinician today, certainly we could get a lot closer to that high 20s. But our short-term for focus has to be on adding people back in. And if we do that, I think the volume will take care of itself, but as we start to add more clinicians, I think we’ll hone in on what exactly that target is, whether it’s high 20s or getting even back to what a 2019 level might have been.
Stefanos Crist: Great. Thanks so much.
Operator: Your next question comes from the line of Steph Wissink with Jefferies. Your line is now open.
Steph Wissink: Thank you. Good afternoon, everyone. I wanted to just pick apart the prior question a bit more. It sounds like there is no structural reason why you couldn’t get back to 2019 if you had the labor pool to support it. So I just want to make sure that we’re hearing you correctly, that nothing has changed in the capacity to see the throughput really just the labor constraint is the only missing piece. Is that the case?
Sharon Vitti: Yes. I think the – the good news is we know exactly what the issue is and it is the adding of FTEs. And so the demand is there, the infrastructure to support those FTEs or those providers in being productive. All of those pieces as Ray had spoken, we’ve put in place. And so the real key here is having providers to meet the demand.
Steph Wissink: And then my second…
Joseph Jordan: Hey, Steph, maybe just to add on to Sharon’s. I mean, we’re not quite to the pre-COVID referral levels yet, so, I mean, I don’t want to dismiss, we do have a little bit of work to do, but it’s significantly closer than where we’re at from a capacity perspective by having clinicians.
Steph Wissink: Okay. That’s helpful. And then I wanted to just break down, I think Joe, you may have talked about the incrementals every 100 clinicians, $2 million in revenue, $1 million in EBITDA per month. Talk a little bit about the realization of that incremental benefit as you do recruit, do you expect it to be relatively linear or are there certain kick points as you hit certain thresholds that you could see the incrementals even get slightly better?
Joseph Jordan: I would – so there is a ramp, I guess, there’s two ways to answer that question Steph, but I’ll approach both of them. There is a ramp time for clinicians and that ramp time is they get pretty close to productivity over the first six weeks to what would be a normally full productive clinician as they build up their caseload. But the other the other wild card in how quickly we realize the throughput is how quickly we’re able to hire and grow our clinician base. And in the first half of the year, we stayed pretty steady from a headcount. You see it in the KPI table at the back of the earnings release. That’s part of why we revise guidance. Certainly, Sharon mentioned the aggressive actions that we’re looking to take. And we think hope that those aggressive actions will pay off, but we revise the guidance down to reflect what experience we had in the first six months essentially.
Steph Wissink: Okay. That’s very helpful. My last one is just on the contract labor, if you could just help us think through the cost burden, whether it’s on a per visit cost or per day cost. However, you think about it – of a contract labor versus a FTE.
Sharon Vitti: Yes. So good question. I made a few things here. So one, we are certainly relying on contractors more this year than we have than in the past, so like quarter-over-quarter. It’s still not a – it’s 6% of our overall provider base, but it’s relative to this year. We certainly have more contractors. So the cost of the contractors is adding – it’s increased our cost per visit by approximately 15%. And so – and then the – obviously the wage difference for the contractor versus the full-time PT is about 60%. So – and that’s grown year-over-year because of the increase, if you will, in the demand for contractors, which in turn has caused their wages to go up. So did – Steph, does that answer your question around the increase in the cost per visit?
Steph Wissink: Yes, I think so. I guess, the interpretation then would be as you bring on more vertical labor versus contract labor, we should start to see some benefits both from capacity, but also on the wage differential. That could also be a tailwind. Very helpful. Thank you so much.
Operator: Your next question comes from the line of Pito Chickering with Deutsche Bank. Your line is now open.
Pito Chickering: Yes. Good afternoon guys. A couple quick questions here. I guess, looking at the back half of your guidance. There’s just a lot of moving parts right now. Can you just remind us of what the seasonality should be as you [indiscernible] 3Q to 4Q and kind of you’ve got perspective for key versus the exit rate be for this year?
Joseph Jordan: Hey, Pito. This is Joe. I can take that. Exit rate, as you can imagine is going to be highly dependent on how successfully we are with adding clinicians. And maybe if I just even step back for a second and think about our original guidance and forecast is I look across the KPIs revenue rate productivity of our clinicians, even the expenses in the middle part of the P&L and frankly, our referrals, which don’t directly make it into the P&L. They’ve all been pretty in line with the original guidance that we put out to the public. The one item that’s been off is the number of clinical FTEs, and that’s what led to the revised guidance. And so, as I think through the second half of the year, and in particular, the exit rate from Q4 is going to be highly dependent upon how successful we are with adding people. To the extent that we’re able to add a 100, 150 people to our overall clinician base. That probably puts us closer to the high end of the range and with a in turn higher exit rate. But as you can see, the midpoint of the guidance has us doing Q3 and Q4 relatively consistent with Q2. And that would suggest that we’re relatively flat with headcount. So not a perfect answer there, but I think it – as we make progress over the next quarter or two with aggressive actions, it’ll start to become clear not only to us, but to you and investors that see our results.
Sharon Vitti: Yes. And I would just add, of course, there’s always a timing factor here. And so I think that it’ll also be how quickly through from August and September will we be able to pick up the head count versus it’d be a trickle over the course of the next five months?
Joseph Jordan: Yes. And maybe one other thing, Pito, to just add on to the end of that. Rate commented on our attrition rate, which we’ve seen come down grant, there was a small increase Q1 to Q2, but a couple percent, if we look at it compared to where we were last year, there’s a pretty significant improvement in our attrition rate. And as I just talked about the KPIs, and then you layer attrition on top of that, I think it really comes down to hiring and hiring does feel like something that we will be able to solve over time. The question is just how much time. So that’s why it’s hard to predict the Q4 exit rate. And that’s why, frankly, in the script, we talked about the flow through, the incremental margin on clinicians so that we and you could make an assessment on the results of the business moving forward.
Pito Chickering: Okay. And then, so I guess digging on the labor question. The PT salaries per visit in 2Q of 2022 is down versus the second quarter of 2019, so pre-COVID. I assume that’s [indiscernible] whole margins as a revenue per visit has decreased. Is that what’s leading to the spike of to it over sequentially, because if you exclude contract labor that you have 2022 versus 2019 theory, the FTE rate is actually even lower than it was in 2Q 2019. I guess, the question is how sustainable is that rate? And can you guys hire with that rate or do you guys need to start increasing those rates?
Joseph Jordan: Hey, Pito, let me jump in on that as well. The rate is – the PT rate is actually higher in Q2 of 2022 versus 2021. So maybe if we could – and it’s probably up 4% year-over-year on average, if we looked across kind of our CDs, PTs, PTAs somewhere about the 4% range so maybe we’d have to – and we could or take it offline work through the math of how you’re getting to lower.
Sharon Vitti: And I would just add, I mean, we obviously need to be looking at the competitive nature of our salaries both from a retention and an attraction. So we’re hyper focused on that. And staying up with the market and actually making sure that we are in sync.
Joseph Jordan: And Pito, I suspect the delta between your math and our math is that contractors are included in our clinical FTE number. However, contract labor, the dollars is in a separate line, that’s called out on the P&L.
Pito Chickering: Okay. Yes. So this is just coming from your KPI saying that the PT salaries per visit is $53.64 in 2Q 2022, which looks down which is $55.21 in 2Q of 2019.
Sharon Vitti: Yes.
Pito Chickering: Okay. So I guess just one more extra follow-up here. I mean, a lot of people are graduating from school. I guess, are you guys losing to your peers, are PT going into other sort areas of in healthcare, I guess, just the broad questions. So where are these PT going and kind of what changes that math to get them to work for you guys? Thanks so much.
Sharon Vitti: So a few, Pito, I’ll jump in with a few pieces. So first of all, there’s a strategy for folks that are coming out of school, new grads, and that period is right now. And I think Ray can talk to it a little bit. We’ve seen changes in just the whole behaviors of people coming out of school and taking their tests and whatnot. So that’s one piece. I’d say the second piece is how do we continue to refresh our strategies around attracting existing PTs. And so we actually have in the last three weeks enhanced our tactics and different ways of doing that, just continuously looking at how to reach folks and let them know how great a place ATI is to work. So Ray, why don’t you talk a little bit about what you haven’t seeing from a PT lens?
Ray Wahl: Sure. So I mean, I think we all know, it’s a tight competitive market. As PT students come out, there’s a subset of those students that want to work in outpatient physical therapy, and that’s the subset of folks that we really want to make sure that we’re getting out in front of. So we’ve used new having the process and procedures, Sharon mentioned it to get in front of those people, but ultimately at the end of the day, it’s something that you just kind of touched on in terms of making sure our salaries, our comp is competitive, but it’s also really around two things and making sure that we have the support that they need to do what they want to do, which is treat patients and not do admin work and things like that. But it’s also the professional development, making sure that CEUs internal development, mentoring programs, making sure all of those things are in place. So these candidates see us as somewhere where they can not only start their career, but they can grow their career over the years. So that’s really what we’re focusing on and making sure we’re putting our best foot forward for those that subset of students that want to work in the outpatient setting.
Sharon Vitti: Yes. I’d say the last piece that we’ve touched upon is contractors, right? Contractors churn quick frequently. They’re obviously a higher cost to us and they’re not the stable team that we need. So our ability to move away from contractors over the course of the next month, six months is very important.
Joseph Jordan: Yes. And Pito, the only other thing that I’d add is, we have been hiring people either, we’re maintaining our headcount. We’re not losing our headcount to build on what Sharon was just saying. Contract labor is definitely different than where it’s been in the past, which means that that’s a new employer. So when we go and we compete for new hires, we’re not only competing against our peers, but we’re competing against contract labor companies that are hiring new grads to be contract laborers, which is a little bit different. I think holding our own in this market, it feels consistent with at least what we can see from other public companies, but we do need to grow and I talked about that in the script here and talked about that in the script. And so we’re – we need to be more aggressive and that probably involves not just new hires, but experienced hires as well. And that’s a different strategy for us.
Pito Chickering: Okay. And then last question here, apologies. But can you go over for free cash flow generations for this year with the revised guidance. And any issues with covenants with this new guidance? Thanks so much.
Joseph Jordan: Yes. Yes. So I’ll start with the – this is Joe, I’ll start with the second part of that question, Pito. No issues with covenants. Our covenants are pretty light until we get to Q2 of 2024. There’s just a minimum liquidity covenant that that requires us to have $30 million of cash/availability. So no covenant issues. And we don’t foresee any in the near-term. From a liquidity perspective, we ended the quarter with roughly $128 million of liquidity do expect the second half of the year to still be a cash burn. And likely gets us to somewhere around $90 million of liquidity as we exit the year. And right now, as you can imagine, we’re focused on not only our near-term actions, but we’re thinking about 2023 and that planning process for 2023 and ultimately want to work back to being a cash flow breakeven company. I don’t think that that’s going to be the answer for 2023, but making progress against where we were in 2022 will be important and adding clinicians to our business to see demand will help us take care of that.
Pito Chickering: Great. Thanks so much, guys.
Operator: Your next question comes from the line of Mike Petusky with Barrington Research. Your line is now open.
Mike Petusky: Yes. Thanks.
Sharon Vitti: Hi, Mike.
Mike Petusky: Hi. Joe, I just want to make sure I caught the end of that last answer. Did you say in 2023, that you didn’t see a possibility of being cash flow neutral? Is that what you said?
Joseph Jordan: I said we’re still working through 2023. I don’t expect it possibilities. That feels a pretty strong word, but we got to – we still have to work through it as you can imagine, Mike, and expectations are we going to improve from where we are this year, which is a pretty significant cash burn and then go from there beyond 2023.
Mike Petusky: Okay. Sharon, I think at the top of the call, you mentioned a location review, and I guess what I’m wondering is, what specifically is being reviewed into what end, I mean, is there a possibility that at the end of this year, there are less facilities even with the de novo plans you have, but less facilities on a net basis than where we are today. I mean is that possible as you conduct this review?
Sharon Vitti: A good question, Mike. It’s a comprehensive review at the clinic level, looking at all aspects, right? It’s looking at the market, the profitability, the future potential, the synergies within the market and all the relationships that we have. And that will be – that assessment will allow us to think about investment decisions and what we may be doing in particular markets. I don’t see that playing out in the – between now and the end of the year from an action perspective, but certainly, the assessment and then the ability to look at that. But there are no significant plans for decreasing the footprint. And then obviously, we’ll look at that as it relates to 2023, our capital framework and where would be going with additions. So it is a work in progress, Mike, but it’s something we take very seriously and the work is going on to help us take a look at it.
Mike Petusky: Okay. And Sharon, I think on the last call, you said, hey, I’m going to take the next 100 days. I’m going to really do a deep dive. I’m going to learn as much as I can in this next 100 days. I guess understanding that there’s still more to dig into here. What have – what do you feel like you’ve learned in the last 100 days?
Sharon Vitti: Great question. I’ve learned a lot in the past 100 days, I would say, first of all, that ATI has a very, very strong culture and it’s something that has carried them through many years. And it’s something that we – it’s most important to the foundation of the organization. The national footprint and just having that geography 900 clinics over 25 states is very valuable. And in fact, that we have a standard platform, evidence based guidelines, that standard EHR is a great, I mean, it’s a great asset to the organization. I would say that the demand is here. The demand is here for ATI and we’ve shown that through the referrals and through our ability to get back to our almost pre-COVID levels. And then I would say people are really proud to be working for ATI. They either are recently joined or been here for a little while and they’re really proud of what we have to offer here and just being part of a leading organization. And then I’d say the last is our patients appreciate us. We’ve started digging into our NPS and what we’re hearing from our patients and they very much value the care they receive. And I think that the clinical reputation is enhanced or 5 point is put on it by our recent announcement of having our MIPS awarded a 100% excellence. So I’d say, and then the last I said before in my comments, the chassis, right? We have a chassis that is allowing us not only to support the clinics we have now, but it’s been developed to grow the organization and to scale. And so I think all of those pieces have been really both informative for me and create a situation where I’m A, excited to be here and B, I can see a lot of potential going forward as we move past this provider challenge.
Mike Petusky: Got you. Can I throw in one last one.
Sharon Vitti: Sure.
Mike Petusky: I think that’s not an easy one.
Sharon Vitti: Okay.
Mike Petusky: In terms of, as you sort of are out there and assessing the big issue in terms of hiring, is there any way for you guys to assess how much sort of lasting damage was done by sort of the change in benefits and sort of what kicked this whole thing off in terms of your clinician attrition issue? I mean is there any way to sort of assess, has that sort of reputational damage sort of hurt you guys sort of on an ongoing basis? Is it dissipating? Is there any way for you guys to actually assess how much that’s affecting you in terms of hiring people? Thanks.
Sharon Vitti: Yes. So I’ll start Mike, and then I’ll look to my colleagues who have been here a little longer than I have. But I would say the biggest challenge we have right now that is a result of some of the previous challenges is, we’re not just trying to maintain our FTEs. We have aggressive targets to grow our FTEs. And so coming out of COVID, and some of the actions that we took that may have increased the attrition levels, the kind of the macro level situation of the workforce tightening up post-COVID. And then our gap that we wanted to fill is very – is really what’s making it challenging for us. So I would say clearly our patients and providers want to use ATI and send us patients. And then I would say both the strength of our culture and our attrition numbers are really confirming that ATI is a great place to be. And I think it’s less about, I don’t think we damage our reputation to the extent that people don’t want to come here, whether it be patients, providers, or employees. I think the challenges we just had of a bigger gap than other organizations to be able to grow versus just maintain and make sure that our workforce is steady. I’d look to my colleagues who have been here a little longer than me. You want to add anything?
Ray Wahl: I would just highlight what you mentioned Sharon, in terms of, when I think about the brand, it’s the brand what it means to our referral sources and referral counts kind of reflect that we have work to do, but referrals have been positive. They continue to grow. So that makes me feel good about what the outside referral community thinks about ATI. And then internally, what do the employees, what does the PT industry think about ATI or our attrition continues to get better, continues to improve. We’re not there yet, so work to do, but also we’ve done some employee surveys over the past few months. And again, indicating that we’re focusing on the right things that we’re engaging with our people in the right way. Things are slowly getting better. We still have work to do. There’s still things that we want to roll out and improve upon. But I think overall it tells a good story about what we’ve been focusing on and that’s the right things over the past several months and in years. So that’s how I think about what our brand is all about these days.
Sharon Vitti: There’s a lot to work from here. I am not concerned that we are damaged and cannot move forward.
Mike Petusky: Got you. Thank you so much.
Operator: Your next question comes from the line of Steph Wissink with Jefferies. Your line is now open.
Steph Wissink: Thank you. I had a follow-up question on your hiring to date. I’m wondering if you can talk a little bit about the trend line. I can see quarter to – the quarter that it looks pretty stable. The turnover has stepped up a bit, but just can you talk about the inbound hiring? Has it improved at all as we’ve entered the back half or has it gotten moderately worse? Thank you.
Sharon Vitti: Yes. Thanks for the question. So we are looking at, you’re saying the back half of the year, so I’m sorry…
Joseph Jordan: For Q1 to Q2, Steph.
Steph Wissink: Yes. Q1 to Q2 and I don’t know if you want to possibly talk about quarter-to-date into the third quarter, but trying to get a trend line assessment year-to-date.
Joseph Jordan: Yes. I could take that, Sharon.
Sharon Vitti: Yes, go ahead.
Joseph Jordan: Yes. From Q1 to Q2, the hiring has stepped up modestly as well, as Ray talked about in his part of the call, our turnover has gone up slightly from Q1 to Q2. Our headcount has stayed relatively stable, which means that the hiring has also improved or increased slightly to offset that, that minor increase in turnover. As we look ahead to Q3, we have pretty limited data at this point. If I combine July and August, which is really where we have some insight into the net of those two is adding people, but it’s not enough to talk about a trend for the second half at this point.
Steph Wissink: Thank you. That’s very helpful
Sharon Vitti: Steph, I was just going to add, we have more of a focus on hiring PTs versus PTAs, which we’ve had in the past. And so the PTs are a little bit tighter right now to hire. So that’s the other kind of the focus we’ve had over the course of the last two months, I mean, quarters, excuse me.
Steph Wissink: Okay. Thank you so much.
Operator: There are no further questions. This concludes today’s Q&A session. I turn the call back over to the speakers.
Sharon Vitti: Great. So thank you, everyone, for your time today. I certainly appreciate everyone’s participation and all the questions. And I also am grateful to everyone support for my first quarterly earnings call ATI. We look forward to future opportunities to connect and thank you for your time today.
Operator: This concludes today’s conference call. Thank you for attending.